Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Clear Channel First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. I would now like to turn the conference over to your host, Mr. Brian Coleman. Please go ahead.
Brian Coleman: Good morning and thank you for joining our earnings call for the first quarter of 2012. On the call with me today is Tom Casey, Executive Vice President and Chief Financial Officer. During today’s call, we will provide an overview of the first quarter financial and operating performances of CC Media Holdings, Clear Channel Communications and Clear Channel Outdoor Holdings. For purposes of this call, when we describe the financial and operating performance of CC Media Holdings, we are also describing the performance of its subsidiary, Clear Channel Communications. After Tom’s comments, we will open up the lines for questions. Before we begin, I would like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that management’s expectations, beliefs and projections will result, or be achieved, or that actual results will not differ from expectations. Please see our annual reports on Form 10-K and our quarterly reports on Form 10-Q filed with the Securities and Exchange Commission for a discussion of important factors that could affect our actual results. Pacing data may be mentioned during this call. For those not familiar with pacing data, it reflects revenues booked at a specific date versus the comparable date in the prior period and may or may not reflect the actual revenue growth at the end of the period. The company’s revenue pacing information includes an adjustment to prior periods to include all acquisitions and exclude all divestures in both periods presented for comparative purposes. It also excludes the effects of movements in foreign exchange rates. During today’s call, we will provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as a part of our earnings press releases, which can be found on the Investor sections of our Websites. A webcast of this call and the earnings press releases issued today can be found on the Investor sections of our Website at www.clearchannel.com, www.clearchanneloutdoor.com or www.ccmediaholdings.com. A replay of this conference call will be available for a period of 30 days.  And with that, I will now turn the call over to Tom Casey.
Tom Casey: Thank you Brian, and good morning everyone. Over the past year and through the first quarter, we have continued to strengthen our business with a series of significant investments that we are confident will solidify our industry leadership and generate robust returns over time. Along these investments of Clear Channel Media and Entertainment, we rolled out our iHeartRadio platform last year with the groundbreaking iHeartRadio Music Festival. Highlighting its great success, the iHeartRadio app recently surpassed 75 million downloads and upgrades. In addition last year, we created national sales and strategic partnership groups to bring money to the sector with new, innovative solutions for our customers and partners, all put in together a new integrated marketing of sales group to deliver multi-platform packages that lever our national reach and local engagement capabilities. We also continue to make strategic investments in our outdoor business. Since the end of 2011’s first quarter, we have installed more than 250 digital billboards here in the U.S. for an overall total of 914. Internationally, we expanded our digital footprint in several markets, including Sweden, Belgium and UK, as well as building out our network with new transit and street furniture contracts. And beyond these initiatives, we continue to make strategic acquisitions to expand and improve our existing operations, such as last year’s acquisition of a traffic service to enhance our total traffic network and Thumbplay to accelerate the development of our iHeartRadio platform. Quantifying this aggressive investment activity, CC Media Holdings capital spending totaled approximately $362 million in 2011 and we expect to deploy our capital at about the same rate or slightly higher in 2012, and like last year, we plan for about 80% or so for that spend to be gone to our outdoor operations, as we see significant opportunities to grow the business. We are pleased with the investments we are making to grow our business. It’s an exciting time for the company and I am looking forward to sharing our progress in the future. Before revealing our financial results, I want to highlight two significant leadership employments so far in 2012. As you know, William Eccleshare has now overseen both our Americas and International Outdoor segments and taking advantage of the expertise of each to benefit the entire company. And another key executive employment, John Hogan was promoted the Chairman and CEO of Clear Channel Media and Entertainment, after the business is rebranding earlier this year, to reflect our multi-platform focus. We look forward to them continuing to lead their businesses to new successes. Let’s move now to the company’s performance in the quarter. I will start with our results for CC Media Holdings and Clear Channel Outdoor Holdings, and then wrap it up with a review of our capital spending and liquidity, before taking your questions. Despite a still slow economic recovery that’s limiting advertising growth, CC Media Holdings’ revenues rose 3% to $1.36 billion in the quarter. Driving this increase was last year’s Traffic acquisition and growth across our digital platforms and street furniture assets. The quarter’s OIBDAN totaled $260 million, representing a 17% decline compared to the first quarter of 2011. Excluding an $18 million unfavorable impact from litigation associated with the company’s Latin American operations, OIBDAN declined 11%, reflecting higher costs associated with new contracts and investments as well as strategic initiatives to fuel growth and integrate the company’s businesses. During the quarter, we continue to actively realign our business operations and we incurred approximately $60 million of expenses related to restructuring and integration actions. Overtime, we are confident that our strategic focus and improvements to our core businesses will continue to strengthen our revenues and competitive position. Now, let’s talk about the performance at our Media and Entertainment operations. Our Media and Entertainment revenues increased 6% to $272 million in the quarter, again reflecting last year’s Traffic acquisition as well as growth in digital revenues and national advertising. The quarter’s political revenues totaled $9 million, however, we expect more significant political spending through the fall elections. Revenues grew 1%, excluding the Traffic acquisition, which generated $32 million of revenues during the quarter. Operating expenses rose 11% during the quarter, mainly from the company’s Traffic acquisition, as well as the investments associated with our digital radio services, including the Thumbplay acquisition in the first quarter of 2011. This acquisition enabled the company to accelerate the development and deployment of the next generation of iHeartRadio digital products, including the iHeartRadio Player. During this period, the Traffic acquisition expenses totaled $35 million, including severance costs associated with the integration of the business. Excluding the Traffic acquisition, expenses grew 3%. Among the quarter’s best-performing advertising categories were automotive, financial services, political and retail. For the quarter, core broadcasting OIBDAN was up slightly from prior year, as the whole Media and Entertainment OIBDAN declined 3% to $250 million. Among Media and Entertainment’s other highlights this quarter was its premier of Madonna’s new single and video globally across its full range of media platforms, helping to propel her new album the Number 1 in the iTunes and record-breaking event sales. In addition, Media and Entertainment helped lift NBC’s The Voice to Number 1 show of its night at NBC’s highest rated regular telecast in nearly five years. Key to these successes are the multiple investments we have made to continue to grow our ratings and extend our revenue outperformance compared to the industry. And we plan to keep investing strategically to leverage effectively our diverse national and local footprint, industry leading content, effective yield management systems, our innovative digital platforms and our strategic relationship with our marketing and advertising peers. As for the second quarter of 2012, trends remain positive, but our visibility is still limited, and as of today, Media and Entertainment revenue is pacing up approximately 2% for the second quarter as compared to the prior-year period, excluding the Traffic acquisition. Now, let’s move to our Outdoor results. Clear Channel Outdoor Holdings reported revenue of $651 million in the quarter, a slight increase over the year-ago period of $650 million. Excluding the effects of moving foreign exchange rates, revenues rose 2%. Outdoor’s OIBDAN declined 29% during the quarter, totaling $83 million compared to $117 million in the first quarter of 2011. This increase was due primarily to the $80 million litigation expense in Latin America as well as the increased costs from strategic initiatives and last year’s divestments and new contracts. I would like to point out a change that we have made in reporting our Americas and International segments. We have determined that our Latin American operations are more appropriately in line with our international operations, and effective this quarter, the operations of Latin America are no longer reflected within the Americas segment. Instead, they are now included in the results of International. These adjustments do not change our total Outdoor results, only the segment financials have been modified for this movement. Now, let’s turn to our Americas segment. Americas outdoor revenues increased 4% or $10 million to $280 million in the quarter. Driving the growth in revenues were bulletins and airports, especially the digital displays that we continue to deploy, including more than 250 new billboards installed since the first quarter of 2011. Americas operating expenses rose 6% to $195 million, resulted from higher site lease expenses associated with the greater airport and bulletin revenues as well as higher production costs related to new contracts and greater expenses related to the initial ramp-up of our newly installed digital displays. Americas’ OIBDAN declined 1% to $85 million. The quarter’s strong advertising categories included retail, healthcare, medical, amusement and media. As I noted earlier, we are deploying our new digital displays aggressively. During the quarter, we installed 57 new digital billboards in the U.S. Moving forward, we will continue to pursue opportunities to expand our digital footprint and look to deploy 175 or more digital billboards in our U.S. market in 2012, and that’s an increase from the guidance we provided during our last quarterly call of about 150. At this point, revenues at our Americas segment are pacing up approximately 1% for the second quarter as compared to the year-ago period. Now, let’s go to our International results. During the quarter, International revenues increased slightly, excluding foreign exchange rate effects. On a reported basis, revenues declined 2% to $371 million, led by an $11 million impact from unfavorable movements in foreign exchange rates. Street furniture drove our revenue growth in the quarter, particularly in China, France and Australia. But this growth was offset by decreases in billboard revenues from various other countries, including the UK and Italy. We continue to see variations in performance across the European market due to some of the macroeconomic factors. There have been slowdowns in Spain and Italy, however, this weakness has been offset by continued growth in such countries as Switzerland and Belgium. Operating expenses grew 10% or $32 million, excluding the effects of movements in foreign exchange rates, on a reported basis, expenses rose 6% to $21 million. Again, contributing to this increase in expense was $80 million litigation expense and higher costs associated with new contracts gained during the prior year, reflecting a $160 million of capital expenditures, investments during 2011, as well as spending of various strategic initiatives throughout the quarter. As a result of higher expenses, OIBDAN declined 58% to $22 million, and excluding the impact of Latin America litigation matters, OIBDAN declined by 22%. Despite the economic challenges that our international team continues to face in select European countries, they have strong leadership to execute their strategic plan and to capitalize on diverse geographic footprint, spanning Europe, Asia, Australia, and now Latin America. As of today, International revenues are pacing down approximately 1% for the second quarter compared to the prior period. Now turning to our discussion on capital spending in our balance sheets. CC Media Holdings total capital spending for the quarter was approximately $73 million compared to $64 million in the first quarter of the prior year. Since the first quarter 2011, our capital spending totaled $371 million, reflecting our increased investments in our business. As you can see, we are continuing to deploy capital to further strengthen both our Media and Entertainment and Outdoor platforms, including such initiatives as iHeartRadio and our Outdoor digital displays here and internationally. About $56 million, our first quarter spending occurred in the Outdoor business. Including the build out of our domestic digital footprint with the development of 57 digital billboards and various street furniture and transit contracts internationally. In addition to capital deployment, we have remained proactive in managing our capital structure. On March 15, a subsidiary of Clear Channel Outdoor Holdings issued a totaled of $2.2 billion aggregate principal amount of 7.625% senior subordinated notes due in 2020. Proceeds from the note issuance were used to pay a special cash dividend to Clear Channel Outdoor Holdings stockholders. Using primarily its share dividend, Clear Channel Communication repaid approximately $2.1 billion of indebtedness. The majority of the debt repayments reduced our senior credit facility debt for the maturity date occurring in 2014, putting a more manageable capital structure and maturity profile for Clear Channel through 2014. As of March 31, 2012, CC Media Holdings totaled debts stood at $20.7 billion. Clear Channel leverage as defined under its credit agreement at the end of the first quarter was 6.2 times compared to 7.2 times the year before. Cash on balance sheet at quarter end totaled $1.3 billion, an increase from year end. At the end of the quarter Clear Channel Outdoor Holdings net debt totaled approximately $4.2 billion and leverage under its indenture was 5.9 times on a total consolidated debt basis and 3.2 times on a senior debt basis. Cash on the balance sheet was $535 million. With very little Clear Channel debt maturity before 2014, we are very comfortable with our capital structure. We will stay focused on proactively managing our balance sheet while delivering strong OIBDAN and cash flow at our businesses. I will close by saying that we are pleased with the progress of our business during the quarter. Our revenue growth reflected a gradual improvement of the overall ad market and we are encouraged by our top line results across our diverse global portfolio. We feel good about the key investments we are making, such as organizing our new strategic partnerships, our national sales and integrated marketing and sales groups and high expectations for the opportunities they create in the future. Looking ahead, while the economic recovery continues to be slower than expected, we are optimistic about the trends we are seeing, the remainder of 2012. We are confident that our business are well positioned to deliver growth in OIBDAN. Thanks for your attention, now operator we will now open the lines for questions.
Operator: (Operator Instructions) Our first question will come from the line of Marci Ryvicker, please go ahead.
Marci Ryvicker - Wells Fargo Securities: Thanks, two questions. I am trying to get my hands around Americas Outdoor both with revenue and expenses. You were up 4% revenue for Q1, now you decelerate to up 1% in Q2 with slightly easier comps. So can you give us color, is it you are taking boards down in New York City, I believe is that having an impact? Is it a category issue? Is demand going to Facebook? Anything you can talk about on the revenue side.
Tom Casey: Hi Marci, couple of things. We did have a pretty good quarter about 4%. We did see some deceleration throughout the quarter. And so, as we have said our outlook is difficult to see at this time but right now we are looking at 1%. As far as, where we see it happening, I think when we look across our businesses for 2Q, nothing really sticks out as a key driver. We continue to see retail auto and healthcare continuing to do pretty well. Media and financial service a little bit weaker including telecom, but nothing specifically comes out as a key driver, just overall slowdown, throughout the quarter.
Marci Ryvicker - Wells Fargo Securities: Both national and local?
Tom Casey: No, national and local are actually up slightly, but again I think that we will continue to see some slowdown, but right now we are trending just at about 1%.
Marci Ryvicker - Wells Fargo Securities: Alright and then just expenses, it would just be helpful if you can at least outline what you anticipate for the year, if you have a budget for both the Americas and the International, just so that we can get a hand on where OIBDAN is going?
Tom Casey: We don’t give obviously an outlook on our expenses, but a couple of things I want to comment for the quarter and this is for giving you some perspective. We did have a serious of integration and restructuring activities going on throughout the quarter, that total was about $16 million, $6 million of that related to CCOH. So, we did have some special items in the quarter. We don’t give outlook for the year, we did take down some boards in the quarter about 300 boards, obviously with the slower economic environment you will continue to see us working on our expenses to keep them in line. Keep in mind that we are reflecting the significant investments we did last year. I would call your attention to the fact that we had about $144 million of CapEx deployed in the fourth quarter versus about $73 million in the first quarter. So, you can see pretty significant investments and that’s really what you are seeing in the first quarter, is a pretty dramatic ramp up.
Marci Ryvicker - Wells Fargo Securities: Okay, thank you.
Operator: Thank you and next we will go the line of Bishop Sheen, please go ahead.
Bishop Sheen – Wells Fargo Securities: Hi, thanks for taking the question, let me follow up on Marci’s question. When we look at expenses going forward and I understand you have said this was choppy[ph] and this had to do with a lot of different things including enhancements, but when we look out to the back half of the year, should we be thinking that these expenses are going to flow through the P&L for the whole year or what was spike in volatility[ph] tear down a bit?
Tom Casey: Well, I think that we can continue to maintain our margins Bishop, clearly for the first quarter where we are seeing some acceleration from the investments we made in the US as well as in international. We continue to see significant growth, in Belgium for example, a very large tender we did. So there is some of that investment that is flowing in and as the build up of our revenue from the new boards catches up, as I think I have told you before, that’s usually in the three to six month timeframe, we would expect that revenue to start to kick in and keep our margins at the levels we have been performing at. Obviously it is something that we are continue to watch, the economic environment is slower than we expected and so we will continue to monitor that.
Bishop Sheen – Wells Fargo Securities: And then, two quick house keepings. The 2% (inaudible) for CCM, did you say that apples-to-apples with traffic or core without traffic?
Tom Casey: That is without traffic.
Bishop Sheen – Wells Fargo Securities: And remind us again, you made the traffic acquisition in which quarter of 2011?
Tom Casey: I believe it was the end of the first quarter. Actually, it was just the beginning of the second quarter like April.
Bishop Sheen – Wells Fargo Securities: April, okay.
Tom Casey: Yes, keep in mind that we were delayed with the review that the DOJ was doing on that business and so our integration is a little bit beyond where we normally would be accustomed to doing. But, we are well on our way to integrating that business.
Bishop Sheen – Wells Fargo Securities: Okay and then last housekeeping, the point you were making about taking down some 300 boards in Q1, are you implying that that was going to help cut the expenses going forward?
Tom Casey: Well, there is clearly a benefit on the expense side, obviously reducing site[ph] issues. But, by taking down 300 displays, what we are doing is we will continually monitor the profitability of certain boards and continue to trim the portfolio as needed. As the economy continues to evolve, we will continue to look at that and take those actions for profitability as well as reduction in costs.
Bishop Sheen – Wells Fargo Securities: Great, okay thank you.
Operator: Thank you and next we will go the line of Doug Arthur, please go ahead.
Douglas Arthur – Evercore Partners: Yes, couple of questions, I am wondering if you can just amplify on the international trends, I mean you’ve got strength in certain parts like China, in furniture, curious as to you near term outlook to the extent you can talk about it in Europe? And then second question, on the capital structure, I guess net debt of $4.2 billion, obviously fixed what kind of flexibility do you have there as free cash flow grows to lower that over a time, over the next twelve months or so, thanks?
Tom Casey: I will handle the international and then I will pass it on over to Brian. Clearly, we are continuing to see a challenging environment in Europe. However, there are – it is not everywhere, for example in Asia we continue to see strong growth in China and Australia, Belgium and Switzerland continue to be doing well and France has been stable as well. Clearly the challenges we have seen are most predominant in Spain and Italy and at least the beginning of the year with the UK. Obliviously the UK, we will benefit somewhat from the Olympics. But just to give you an idea, just the diversification of the portfolio, when you take out the slowdown in the UK, Italy, and Spain the revenue for the international group would be about 5%, so the rest of the portfolio of Europe in our international business rather is doing quite well, but we are seeing some slowdown in these other countries and obviously we are resizing the businesses for the environments that are there and we will work our way through it. But, the rest of the business is quite healthy and we are feeling pretty good. We obviously run that business on a portfolio basis, sometimes business at some countries are up some countries are down, clearly we are seeing some significant weaknesses in Southern Europe and we will continue to monitor that environment. Brian, do you want to cover the debt piece?
Brian Coleman: Sure, Doug as you mentioned the vast majority of Outdoor’s debt is in the form of the two note issuance, the senior and subordinated notes, so these are long term fixed rate notes. There is some flexibility with respect to fixed price calls that will kick in on the senior notes, our[ph] subordinated notes are, what we feel are pretty attractive rates, the senior notes are probably higher than market and so it is something that I think we mentioned on our last conference call, that we are continuing to examine. The remaining debt is largely in our international operations and there is not a lot of it. So, I think the question that you are asking is, is there an opportunity to reduce debt going forward? And certainly, we expect the outdoor companies to generate free cash flow such that it could, but we will have to continue to look at the opportunities given that the note issuances are long term. But, we do have some flexibility and call protection that is built into the senior notes and we will evaluate that throughout the remainder of the year.
Douglas Arthur – Evercore Partners: Got it, thank you.
Operator: Thank you, and next we will go to the line of Jason Kim, please go ahead.
Jason Kim – Goldman Sachs: Hi, good morning, thank you for taking for taking my questions. If I could just follow up on the expense side from a different angle, when we think about your expense base going forward, obviously you are investing for the future for certain, for greater revenue growth going forward, but as we think about the comp comparison versus 2011, I mean does the comp get easier as the year progresses? Because presumably, you have ramped up some of these investments throughout 2011, therefore as we get to the latter half of 2012, the expense comparisons become a little bit easier for you guys?
Tom Casey: Well, I think what we’re seeing Jason, is a little bit of the opposite. I think with most of our expense growth is coming from, is from our development, and so it typically is the other way, where it’s coming in ahead of the revenues. So, what you’ll see on a comparable basis is a steady ramp up of an expense base, for new development. What we have to do is, make sure that we are getting the revenue lift that is embedded in these contracts to make sure we’re getting our margins. So, on the expense line itself, I wouldn’t expect the comps to be necessary. The right way to think about it, I think we’re trying to grow the business, and investing in the business, what we’re seeing right now is a little bit of a slower environment than we would have liked in our outlook for the second quarter. We do think that the second half will be better, clearly with some additional political spending, should help the entire portfolio.
Jason Kim – Goldman Sachs: And then on the radio side, you’ve recently made a decision to continue to go ahead with the ad free format for the customs stations and keeping the investments your making, just wanted to get your take on that decision. Now, what are some of the parameters you’re looking for, before you try to monetize the products?
Tom Casey: Well, we continue to see terrific growth in our iHeartRadio platform, and we’re excited about the feedback we are getting from our customers, as our total listening hours are up significantly, and our total downloads, are up nicely over 75 million. So, we see tremendous growth there. And we’re continuing to grow that business on the back of iHeart platform, and we see opportunities to engaging consumers like we’ve ever seen before, so we are being cautious on studying how to monetize that customer relationship. We have delayed any kind of monetization efforts rite now, as we continue to study, and make sure that, how we do is the least invasive as we can. And we’re getting feedback that the loads on some of that streaming, is disruptive, so we have to be careful on how much we put in there, and we’re evaluating all those options now.
Jason Kim – Goldman Sachs: Okay, and then I’ll just ask a couple of capital structure questions, and the first of all, any thoughts on trying to extend the ABL facility, obviously that has a different sort of credible file compared to some of your other credit facilities out there, so I just wanted to ask, what are your thoughts on trying to extend that piece, as a additional source of liquidity for you guys?
Tom Casey: Yeah, we are thinking about that, as you pointed out, this is a little bit different. A little bit different characteristics, with respect to this facility, it is largely at market, it is undrawn and extending this beyond 2014 will provide additional liquidity since it is undrawn. And so, it is something we’re focused on, we think the ABL market is pretty attractive, and so it is something that we are considering currently.
Jason Kim – Goldman Sachs: Got it and one more question, I’ll get back in the queue. Again, on the balance sheet, on the fourth quarter earnings call, you mentioned that the incremental senior debt basket was in the neighborhood of about $750, under the LBO and the PGN indentures. And when you did the most recent CCO transactions, and the subsequent revolver draw down, and a pay down, you also made a volunteer pro rata repayment with the bank that, in the tune of $170 million, if I remember correctly. And I’m assuming that was done to kind of recharge the basket, because you had to be able to draw on the additional revolver, as well as the dividend leakage, to the CCO minorities’ shareholders. So, that was sort of a long window way of asking number one, the income on the incremental senior debt basket under the bond indentures are pretty minimal at this point, but we should just be thinking about that as, you just replacing the basket with cash being able to sit on the balance sheet, and number two, as you repay the bank debt with cash in hand going forward, that incremental senior debt basket will be recharged?
Tom Casey: That is all correct, and I’m going to rephrase it just so that hopefully, it’s clear to the audience. When we made the 170.5 million voluntary prepayment. It was to manage capacity under the incremental senior debt baskets. We don’t really disclose what is outstanding out of the baskets on an ongoing basis, but we have periodically, and I think the calculations out there now I have seen it in a couple of analyst’s report. So, I think people have a pretty good understanding and can do the math. We don’t mange it to zero, we have a cushion. There are specific baskets that we don’t include in there, because there’s a general incremental senior debt that we can just raise. I’m referring to attributable indebtedness in our foreign sub. These are specific senior debt that we can out in place, but on a general basis, where we’re fairly exhausted on the incremental senior debt baskets, but as you pointed out, as we have amortization payments and other payments to senior secured debt from cash that would recharge that basket. And I think we have our amortization in our table in our 10-Q, you can kind of see how that would have it on a mandatory basis, but also on a voluntary basis. If we chose to use cash on our balance sheet of which we have in around 1.3 billion to pay down senior secure debt, that would recharge that basket. So, ultimately between the way that you put it and the way that I put it, that fairly complicated explanation resonates.
Jason Kim – Goldman Sachs: Great, thank you.
Operator: Thank you. Our next will go to the line of James Dix, please go ahead.
James Dix – Wedbush Securities.: Hey, good morning guys. Just a couple of questions, I guess first on the revenue side of things, did you in the first quarter see any differences in growth between like your top ten markets in the Americas and then your smaller markets, and kind of the same question for your pacings? Are your seeing any difference by market size?
Tom Casey: It’s hard to specifically break it out. I think in the new Americas, we clearly are seeing our business pacing up, 4% was pretty good quarter, national was good, local was good as well, but you know specifically by market. It varies as advertisers move around the country, so it’s hard to get a specific trend by geography. You know in the radio business, our top ten, our businesses were probably little bit lower than we’ve expected mostly due to local but, you know the national business continues to do well, so it’s hard to say that I guess specific trends by markets, for each one of those businesses, where we see the most dramatic trends are in the countries in Europe, where we talked earlier, about UK, Spain and Italy, being offset by Australia, China, Sweden, Switzerland.
James Dix – Wedbush Securities. : Okay, and then just in terms of your reclassification of segments, two things, you gave up pacing data for the prior quarter. I think the America is up five, and then International I believe was flat. Would those pacing’s have been materially different under the reclassified format?
Tom Casey: No, we did on pro forma. So, those are all consolidated in with Latin America in their comparing to the new international.
James Dix – Wedbush Securities. : So, it is apples to apples? Like the up four that you posted in the first quarter is apples to apples with the up five pacing that you had seen previously?
Tom Casey: Am sorry, say again?
James Dix – Wedbush Securities. : On your last call, you said you were pacing up five in the Americas, and then you finished up four, but you also reclassified your results. I just want to know whether, how you finished in the Americas in the first quarter in terms of that up four, was apples to apples or not materially different from the up five pacing
Tom Casey: Sorry, just to be clear James. I thought you were referring to the go forward. For 2Q, all these Latin America pacing’s are in the International segment. For Q1, they were in the Latin America segment and they were in the actuals as well, but given the size of our Latin American business, they’re not materially different from – they are not going to drive the change really at all?
James Dix – Wedbush Securities. : Okay and I didn’t see it, are you providing the reclassifications for the other quarters of 2011, or you’re just going do that as you report each quarter?
Tom Casey: We anticipate filing an 8-K over the next couple of weeks to give you the pro formas as part as some other SEC filings we’ve got to do.
James Dix – Wedbush Securities. : Okay, great and then just one last one on operating expense. You kind of outlined a little bit of the investment you’ve made, both in terms of some of the street furniture contracts as well as your digital. Do you have any sense like for the full 2012, how much impact on operating expense you’re getting from those new additions, as opposed to just kind of the organic growth of the business, and outdoor, is it adding another potential point of operating expense growth? The ramp up on the street furniture unlike contracts in the digital, I’m just trying to get a little bit better sense as to kind of the organic growth of expenses in outdoor versus this inorganic part related to growth initiatives, thanks?
Tom Casey: Yeah, we haven’t given any kind of guidance like that James. I think we continue to see opportunities to grow both domestically and internationally in our outdoor business. We still have pretty significant expectations on CapEx over $350 million across the company. Most of that is going to be in the outdoor business, about 80%, and so I think it’s the operating expenses associated with that, some of those obviously come in more in the front end as we’re ramping them up, but hard to give you a specific percentage. A lot of these are subject to wining of tenders and the actual deployment rate we do. As I mentioned earlier, the fourth quarter was so significant with about 90 digital boards and $144 million of total CapEx it was a significant investment, so we’re seeing that in the first quarter.
James Dix – Wedbush Securities. : Okay, thanks very much
Operator: Thank you. Our next will go to the line of Lance Vitanza, please go ahead.
Lance Vitanza - CRT Capital Group : Thanks guys, for taking the question. A couple of housekeeping items first, and then I want to get in the outdoor as well. At CCME, the revenue ex-political was down –I’m sorry could you repeat what that was revenue ex-political in the quarter?
Tom Casey: Political for the quarter was $9 million, I have to do the math, but that was $9 million we can back it up, but…
Lance Vitanza - CRT Capital Group: It looks like revenue sort of, on an organic basis ex-political kind of core if you will, was sort of flat to down at touch versus, I think the recent last call, the pacings at the time were sort of plus 2% if I remember correctly. And so my question there is, it seems like there is, couple of quarters now, and I think the same thing happened to CBS, where results have been weaker than the pacings would suggest, should we expect that dynamic to continue for the next few quarters?
Tom Casey: I think particularly in CCME, we gave 1% pacings in the first quarter now to, I think that we do expect some pick up in political as we approach the election. So, we are expecting some year-over-year improvement, with the comps year-over-year and not having political last year, so I would expect some improvement with regard to political. What I don’t know is what the underlying economic environment is going to be and how that’s going to under drive the organic growth that you were referring to, but this is kind of where we sit right now, we are seeing the political activity start to pick up and you know we are keeping formed, as we move though it, but that’s how I at least I see the rest of the year playing out.
Lance Vitanza - CRT Capital Group: And then on the, did I hear you right earlier, you had 16 million or so of kind of immigration and restructuring that took place at outdoor, and that would be an addition to the $18 million charge that was related to the litigation at Latin America, is that right?
Tom Casey: It’s 16 million for the whole company. 6 of it was related to the outdoor businesses.
Lance Vitanza - CRT Capital Group: I got you know, okay 6 of outdoor. Okay, and then could you explain the relationship between the capital investments and the CapEx that you made last year and this year for that matter, and the investments that you’re making now which you’re running through the P&L, and I guess what I’m wondering is when I think of investments, you know I think of assets being capitalized, put up on the balance sheet and then amortized overtime, is that what’s going on here?, What exactly are the nature of these investments in the outdoor business that your making?
Tom Casey: They really come in a couple of different pieces but they have a similar impact , typically when you win a tender in an international business, a new street furniture contract for example you’re going to have an increasing cost as operating cost to set up and that work and start to build it out. While you are waiting for the revenues to obviously start coming in from the new sales. In the U.S., on the digital sides a similar activity where you got typically site lease expense associated with the new board. Yet the revenue in the occupancy has initially fully engaged. So, you have just a mismatch between the revenues and expenses.
Lance Vitanza - CRT Capital Group: Okay. Great and then last but not least the revolver, could you just remind me the current size of the revolver facility and what you’re availability is under that facility at the moment?
Tom Casey: Hey Lance, we have two revolvers and the cash flow revolver is a 2014 maturity and we fully drew it and repaid all of the 10 million of it, of that 10 million we have drawn all of the 10 million. So, there is no availability under the cash flow revolver. The other revolver that we have is the ABL, it is our receivables backed revolver. It is a $625 million in terms of availability, but it is also limited by borrowing base and that borrowing base is less than $625 million, but we haven’t borrowed any under it, but we have some letters of credit outstanding backed by that facility because we move those over from the cash flow facility. I think Jason asked earlier the question about our intent with ABL. Our intent would be prior to maturity to extend that and so what you seen us do is maximize the repayment of 2014 indebtedness by drawing down or repaying permanently the revolver because we are able to do that and not have to apply the repayments pro rata cost of our term loans, but keep the ABL outstanding undrawn and potentially we will be able to extend it and that will become our liquidity facility in the future. We don’t disclose the borrowing base, but we have borrowed under it in the past. It is somewhat seasonal, but you can take a look at our historical statements, see what we borrowed in the past and get a pretty good idea of what our borrowing capacity has been. In another way I’ve seen people do it is they know that are 85% of our broadcast receivables are part of that borrowing base and I think that provides pretty good estimate of what is available at any reporting period.
Lance Vitanza - CRT Capital Group: Thanks.
Operator: Thank you. And next we’ll go to the line of David Miller.
David Miller - Caris & Co: Yeah. Hey guys, just one question. One of the issues that is kind of plagued these outdoor names over the last year or so is just this sort of conceptual notion that digital is cannibalizing static that there are certain advertisers that just love the flexibility of digital, love that they can put their ad up say in the morning or evening drive by or I don’t know Ace Hardware, I know it puts a lot of ads up on the weekends so schmucks like me are going down to the hardware store on a Saturday morning, stuff like that. I mean, you guys are taking down static boards, is this one of the reasons that you’re taking down the static boards and are you seeking this trend in the U.S. business at all, thanks.
Tom Casey: Hey David, I think a couple of things are happening. Clearly where we can we are taking some of our best locations and trying to put digital on them. So, it does put some pressure on the traditional business. But having said that, we think that the payback is significantly higher than anything we get on the static board, so we’ll continue to do that. But it does put some pressure on the traditional business as you take A Class boards out of the market and replace them with digital. We again think that the capacity we get and the rate that we are getting on those make that trade-off pretty straight forward and pretty attractive. So, we’ll continue to do that, I think that trend will continue. I think internationally, I think the trend is expanding quickly. Particularly in the street furniture, we have got a number of things going on in throughout Europe to kind of digitize or put digital into as a number of street furniture applications as well as some of our mall business and transit and it’s a terrific product and our advertisers are excited. We’re able to bring additional advertise to the medium as a result of that and it’s an exciting part of the growth of Outdoor.
David Miller - Caris & Co: Yeah. Thank you.
Operator: Thank you. And next we’ll go to the line of Jim Gause, please go ahead.
James Gause: You might have started to allude to this in your last comment, but I was wondering that traditionally the U.S. markets tend to be more billboard and poster oriented. Internationally, it seems more street furniture oriented. I’m wondering over time as we see street furniture pop up into the U.S., we are also seeing our billboard and poster opportunities as people change and the nature of society changes, it’s also created some opportunities of that nature as well internationally?
Tom Casey: Well, I think the first and --fore most I think the technology has come a long way and the applications that we can put in place now are very very attractive and are bringing new again new advertisers to the medium. What you can do now, particularly on indoor applications, parts of transit as well as in malls is significant and also selling them as a network is also an important part of our strategy. I think in the U.S. the street furniture applications we have a couple of those across the country San Francisco and D.C., for example and we’ve got digital applications in San Francisco and we’ve got some terrific feedback. So, I think the consumers are attracted to it. You are seeing new technologies like interactive capabilities that are changing the way people think about advertising and I think it is a new and innovative development for our medium that is exciting and we think we’ll continue to grow. I think, the one thing I highlighted the formats are very different in the U.S. most of our digital has to be in the billboard area and in Europe it tends to be more e formats are very different in the U.S. most of our digital has to be in the billboard area and Europe it tends to be more in the street furniture as you mentioned malls and transit.
James Gause: So, you are not seeing a lot of highway billboards sort of developments in Europe for example or are there other restrictions to putting those up as they are in the United States?
Tom Casey: There are restrictions by country, obviously France probably being the largest with billboards and Spain as well, but for the most part it is mostly under street furniture poster type applications and then as I mentioned transit and malls.
James Gause: Structurally, do you think there is any chance that you may have too many international markets including a number that are smaller and it might be better at some point to do swaps or sales. To focus in on fewer, so that you know like the operating cost structure would be more manageable?
Tom Casey: I think as we mentioned earlier, we do have an ongoing process where we do take down board and I think that is something that we continue to do, we did a significant amount back in the ’08-’09 time frame for exactly that reason particularly in areas like the U.K., France and so, there clearly is capacity that need to cut down as you add capacity in some of the new digital areas. So it is something that you need to continually monitor and trim ahead of the inventory in order to maximize your rate and occupancies.
James Gause: The last thing in a totally unrelated area, rental key rates have become sort of more in the news lately involving all sorts of elements in radio and music services. I am wondering if you could talk about what the royalty rate structure is for iHeartRadio and whether it varies depending on the customized version versus the collection of your stations and also if you are even getting any pressure at the broadcast level from (inaudible?
Tom Casey: Well, obviously, there is a lot of regulations that govern this area and we are complying with all of them. We continue to develop out our iHeartRadio platform and pay the appropriate amounts due under those various agreements. So, we don’t disclose specifics. It is obviously a very complicated area. Our results are reflecting the new streaming that we are doing. It is a new expense item obviously, but we obviously think it is a terrific way to engage with our customers and something that will continue to monitor and work through, but difficult to give you a specific answer on the phone and again as a complicated area, the one that we are monitoring very closely.
James Gause: Alright, thank you.
Tom Casey: Operator, can we take one more call, we are going to close at the end of the hours.
Operator: Sure. And the last question will come from the line of Brett Harris, please go ahead.
Brett Harris - Gabelli & Company: Hello. Hi guys. Could you just give us a quick reminder of how much is left on the buyback authorization. How you think about our repurchases here of CCO and any practical or listing implications of reducing the flow below 10%.
Tom Casey: I don’t have the number in front of me, but I think of the original $100 million authorization. We probably had around $80 or $85 million and if that's a way off, I'll let you know. That authorization was set up for the opportunistic repurchase of shares of Outdoor as well as shares of CCMO. We have not purchased any Outdoor shares this past quarter. As we think about it going forward, I think it would be under the same criteria as we have in the past, if it’s opportunistic, looks like a good price, we would love to do it. (inaudible) ways I think in terms of our historical purchases have been under 10b-18 Safe Harbor restrictions. We are (inaudible) ways away I think of hitting the 90% threshold. We started out at 90%, we originally IPOed Outdoor, I think it would be comfortable getting to there. The authorization indicates that, our repurchase is not an intend to go private and I think there maybe some liquidity issues. We'd have to think through if we went above 90%, but we are quite ways away from it, so I don’t know that we really given it a great deal of thought. Did I address most of the question, Brett?
Brett Harris - Gabelli & Company: No, that was great. Thank you.
Tom Casey: Alright, I think that concludes the call for today. We appreciate all of you joining us today and if you have any follow-up questions. Please feel free to reach out and contact us. Thank you.
Operator: That does conclude our conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.